Operator: Good morning and welcome to the Trevena First Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Barry Shin, Senior Vice President and Chief Financial Officer. Please go ahead. 
Barry Shin: Good morning and welcome everyone. With me today are Carrie Bourdow, our President and CEO; Patty Drake, our Chief Commercial Officer; and our Chief Medical Officer, Mark Demitrack. As a reminder, OLINVYK was approved by the FDA in August 2020 and indicated in adults for the management of acute pain severe enough to require an IV opioid analgesic and for whom alternative treatments are inadequate. The important safety information including the box warning and the full prescribing information are all available on olinvyk.com. I'll remind you that OLINVYK is an opioid that is a Schedule II controlled substance with a high potential for abuse similar to other opioids. We'll also be making forward-looking statements within the meaning of federal securities law. These statements are subject to risks and uncertainties related to our business including those covered in our filings with the SEC. We undertake no obligation to update these statements beyond today. I'll now turn the call over to Carrie for an overview of our first quarter of 2022 and recent business accomplishments. Carrie? 
Carrie Bourdow: Thank you, Barry. Good morning everyone and thanks for joining us. Today we'll provide an update on our refocused efforts for OLINVYK and updates to our pipeline assets. Let's start with OLINVYK. From a macro perspective, we are seeing signs that hospitals are opening back up and things are improving, but it's taking time. Our field sales team is actively engaging burn, colorectal, and anesthesiology related physicians and our refocused field strategy is building momentum on the ground. However, at the same time, I want to acknowledge that the launch has been slower than we had expected. We haven't seen the traction as quickly as we would have liked and engaging inpatient hospital decision makers in the midst of the pandemic has certainly been difficult. I will say that I'm proud that the team has been able to adjust and is refocusing where needed. Patty will talk more about our renewed approach that she initiated mid-quarter. And in part this included moving sales reps over from the contract sales organization to our in-house Trevena team. We do believe this is having a positive impact and helping us to have a better approach to messaging and field execution. On the clinical side, our OLINVYK post-approval studies are on track. Our medical science liaisons have now been trained on the exciting new respiratory physiology data and we are adding this data to the hospital dossier for formulary committee reviews. We also plan to present the data at the American Society of Anesthesiologists conference in the fall. And in a few months we expect to report top line results from the OLINVYK study versus IV morphine which is a very interesting area for prescribers. At the end of the year, we expect to have results from the Cleveland Clinic Outcome study looking at respiratory cognitive function and GI tolerability all important data we plan to discuss with formulary committees. Patty and Mark will talk more about our plans for OLINVYK later on the call, but before I turn it over, let me make a few more comments on the pipeline. First, like many of you, we were disappointed that the Data Safety Monitoring Board recently stopped the TRV027 arm for the ACTIV-4 trial. Just a reminder, the NIH came to us to study TRV027 in hospitalized COVID patients and this study was completely funded by NIH. We are looking forward to seeing the complete analyses and we'll certainly update you as we learn more. On TRV045, our novel S1P receptor modulator, we expect to complete Phase 1 study by year-end. We're initially looking at TRV045 as a potential treatment for acute and chronic neuropathic pain secondary to diabetic peripheral neuropathy. This is a large opportunity. Over 25% of diabetic patients have neuropathic pain. And the NIH is studying TRV045 in preclinical models for epilepsy. We should have that data also in the second half of this year, so we can potentially have two shots on goal to pursue with TRV045. Lastly, I'm pleased to announce that we received the first non-dilutive $15 million tranche from our financing we reported earlier in the quarter. There is a potential for another $25 million in funding from this deal, including a milestone payment upon first commercial sale of OLINVYK in China. So, I know there's a lot to cover. We'll leave time for questions. But let me turn the call over to Patty to talk more about the OLINVYK launch. Patty? 
Patty Drake: Thanks Carrie and hello everyone. Let me update you on the continued progress that we've made in the commercial strategy that was launched mid first quarter for OLINVYK. I'd like to start off by sharing that we are in the midst of contract negotiations with large hospital group purchasing organizations that represent over 5,000 member hospitals. These contracts will allow for a broadening of access to OLINVYK through a top-down approach which is the first of our three strategic pillars and we're making headway. Having a contract in place will allow the member hospitals to have access to OLINVYK for the key account managers to pull through sales and we look forward to updating you, as these contracts progress. Our second pillar, focusing on core patients has led to 2,500 calls in the first quarter, over half of which were concentrated in the critical care settings of burn, colorectal and anesthesiology. Despite the very difficult access in the first half of the quarter, over 90% of these interactions were conducted in impactful face-to-face forums, when access did improve in the latter part of the quarter. We continue to be invited to conduct in-service programs, where we educate the entire health care team on the use of OLINVYK in appropriate patients. In fact, we've held 98 in-service programs in the first quarter. I'd like to add that awareness for OLINVYK has increased because of our presence at National Congresses like the Anesthesiology ASMA [ph] Congress, where our OLINVYK data was selected as the President's Choice Presentation. We attribute the strong execution we are seeing to our Trevena-led customer-facing team, which is the third and final element of our strategy. As I've spoken about in the past, what this team is hearing from our customers in these interactions support our belief that OLINVYK is a particularly compelling option for the difficult-to-treat patients, like the elderly obese and renally impaired. We believe customers appreciate OLINVYK's rapid onset of action, lack of active metabolites which enables a predictable analgesic with no dose stacking and a well-characterized safety and tolerability profile. And with that, I'll turn the call over to Mark. Mark?
Mark Demitrack: Thank you, Patty. I'd like to begin by highlighting the progress we've made in our OLINVYK clinical studies. I'm especially excited by the fact, that we have begun approaching important data milestones, and are now able to share some of the key findings from the investments that we have made in these clinical studies. During our year-end call a few weeks ago, I reported the first of these clinical study milestones with a review of the positive top line results from the respiratory physiology study, led by Dr. Albert Dahan, at Leiden University Medical Center. We were pleased with the results of this work, which compared OLINVYK and IV morphine in a head-to-head manner on respiratory function outcomes. The study was conducted in a group of elderly overweight subjects, specifically because we know that older age and increased weight are two of the most important risk factors for the development of respiratory depression, when opioids are used in practice. We believe the methods used by Dr. Dahan are a precise way to ask the question, do these two drugs potentially differ, in how they may affect the brain's physiologic regulation of respiratory function in human beings? The answer from that study is that, yes, they support our belief that they differ. And results of the study showed a statistically significant difference in respiratory function outcomes. We believe this study was important, because it replicated an earlier study, examining the same outcome in younger subjects. While studies like Dr. Dahan's investigation are not practical to conduct in the postoperative setting, the data are nonetheless consistent with the observations that we have reported in the clinical setting in our patient studies and thereby strengthen the evidence characterizing the respiratory profile of OLINVYK. In these studies, we have seen consistently favorable outcomes on indices of respiratory function, such as decreases in oxygen saturation or reductions in respiratory rate, as compared to IV morphine. Despite these findings, it is important to remember, that as with all opioids, serious life-threatening or fatal respiratory depression may occur in patients treated with OLINVYK, as indicated in the boxed warning. The clinical outcomes seen in our patient-based studies were also the precise risk inputs used in our published health economic model, demonstrating that the magnitude of these clinical differences is also economically meaningful. In short, we are encouraged by the replication of this respiratory physiology data and look forward to working with Dr. Dahan's team in reporting this new information in the scientific literature in the coming months. We believe that this data will also be a useful addition to the dossier of technical information used by our medical team to respond to questions from formulary committee members and we look forward to making progress in those discussions. The next upcoming milestone from our clinical investigations is the top line data readout of our cognitive function study. I mentioned previously that this study is designed to compare the potential changes in cognitive function in subjects treated with OLINVYK and IV morphine in a head-to-head study design, on a broad array of cognitive performance outcomes including motor coordination, attention, reaction time, memory and higher order executive function. This study is being conducted in partnership with the Netherlands-based Center for Human Drug Research and we expect initial data from this study to be reported by the middle of this year. Finally, the VOLITION trial, which is the clinical outcome study led by Cleveland Clinics Outcomes Research Department is our second OLINVYK study currently in progress. The trial builds on our published clinical data and is evaluating OLINVYK's profile on three important clinical outcomes in the postoperative setting namely respiratory depression, nausea and vomiting, and cognitive function. This project is actively enrolling patients, and we expect top line data in the second half of 2022. We also have continued to make advances in our early pipeline, in particular with TRV045, our non-opioid selective S1P receptor modulator, which we are developing for the potential treatment of diabetic neuropathic pain. We're on track to complete our Phase 1 development program for TRV045, by the end of this year. Importantly, we have continued to make progress with 045 through our collaboration with the NIH's epilepsy therapy screening program, which has been examining TRV045 in a number of animal models for refractory epilepsy. We expect the NIH to complete this initial phase of work later this summer. And based on the outcomes, we will determine whether further investigation of TRV045 for certain epilepsy subtypes should be pursued. We're very excited by the opportunities that we see within our S1P program and in TRV045 in particular. We believe that TRV045 presents a potentially unique entrant to this pharmacologic class, based on the observed nonclinical study findings, of reduced circulating levels of peripheral lymphocytes, and also animal data suggesting a potentially favorable clinical safety profile. As you can see, our clinical research team has been very active and those efforts are now beginning to bear fruit. We look forward to reporting on the upcoming work in the near future. Let me now turn the call over to Barry to discuss our financials, before we open it up for Q&A. Barry?
Barry Shin: Thanks, Mark. In the first quarter, we reported no net sales and $20,000 in license revenue in connection with material we provided to PharmBio, our partner for OLINVYK in South Korea. Our net loss for the quarter was $16.4 million, or $0.10 per share compared to $9.8 million, or $0.06 per share for the same period last year. These changes were mainly due to costs associated with our OLINVYK launch, and product pipeline. We finished the first quarter with $48.7 million in cash and equivalents, which we believe will fund our operations and CapEx into 2023. I'd note this, Q1 cash balance does not include the $15 million tranche from our ex-US royalty-based financing with R-Bridge, which we received in April. We expect to receive an additional $15 million tranche on first commercial sale of OLINVYK in China, and $10 million on the commercial or financing milestone. Related to this, I'd note that, we have an upcoming annual meeting with a key proposal to increase the authorized shares. This proposal is vital for shareholders long-term value and would provide flexibility to execute on business development opportunities achieve the $10 million non-dilutive tranche from R-Bridge transaction, and advance OLINVYK in our product pipeline. We'll now open the call for questions, after which Carrie will provide some closing remarks. Operator?
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions] Our first question comes from Brandon Folkes from Cantor Fitzgerald. Please go ahead.
Brandon Folkes: Hi. Thanks for taking my questions, and thank you for all the color on the call. Can you just help me think about sort of why accounts aren't ordering OLINVYK? My understanding is there, were accounts that used the product initially. It looks like they're no longer using it. So I guess is that just driven by formularies? Are they removing the product or formulary, or is it actual user experience in practice? And then maybe similarly on the 2,500 calls that you called out why do we not see sales being pulled through there? And then lastly, I guess, just a little bit different. Can you help us think about the OLINVYK opportunity in China? Thank you.
Carrie Bourdow: Great. Thanks, Brandon. I appreciate it. So let me – this is Carrie. Let me start just to clarify that, we are seeing orders from physicians and reorders from hospitals that came on board. And I think that is in part why we are still optimistic, right? And when we continue to get OLINVYK in front of physicians decision makers, we're hearing that, the profile is resonating. Let me ask Patty to talk a little bit about the 2,500 calls and some of the in-service programs. And then I think your third question was around the opportunity in China. Yeah.
Patty Drake: Yeah. So the 2,500 calls have led to sales. As Carrie mentioned, we have had pull-through sales, we've had reorders, and we've had new orders all in the first quarter. In fact, this quarter was very, very strong by comparison to the fourth quarter, yes on a small number and – but nonetheless, it's quite encouraging. On the in-service programs ,keep in mind that we have to be invited in to do those programs. So those 98 in-service educational programs are for the purposes of having the entire staff understand the features benefits and limitations of OLINVYK and how to identify appropriate patients for the product. So all of those activities are by invitation only.
Carrie Bourdow: And then, I think, the third question was around the opportunity in China.
Barry Shin: And Brandon, I'm sure you saw we announced the average financing based in large part on the Chinese royalties. Our partner Nhwa filed the NDA in January. And while we're not providing guidance generally 16 months to 18 months is how long it takes for approval in China. On the Chinese approval and first commercial sale we expect a $15 million tranche from the R-Bridge financing as well as a $10 million tranche on a commercial or financing milestone potentially in the interims of $25 million non-dilutive financing based on those royalties. I'd also note that, while the financing was based on the Chinese royalties, we are also eligible to receive the milestones including a $3 million milestones -- milestone from Nhwa on Chinese approval. So a lot to look forward to from our Chinese partnership over the next year or so. 
Q -: Great. Thanks very much and thanks for taking my questions.
Operator: The next question comes from Jason Butler from JMP Securities. Please go ahead. 
Jason Butler: Hi. Thanks for taking the question. Just, I guess, a follow-up there on the demand trends you're seeing. Is the situation continuing to improve into the second quarter, i.e. seeing the orders and reorders continue to grow? 
Carrie Bourdow: Hi, Jason, it's Carrie. Yes, so we -- I think you're hearing this from a lot of folks. We certainly saw pandemics or spillover into January or February. As Patty said, March was frankly our strongest month still on a small base. But we are starting to see and we are continuing to see the improvements, the engagement the activity levels improve. And we have, I think, Patty over 40 formularies already scheduled between now and into the third quarter. So I think that's a really good sign that things are starting to improve. 
Patty Drake: Yes, I agree. 
Jason Butler: Great. And then, obviously, it's only been a few weeks, but with the new respiratory safety data have you got any feedback yet from the field or formulary committee on the results? 
Mark Demitrack: Jason, thanks. This is Mark Demitrack. The -- in the early going the material is useful. It's new information additive to what was in our technical dossier. And the interaction and -- preliminary interactions that the MSLs are having when asked at the committees and by our KOLs in the field has been positive. So more to come on that as we begin to roll out in the coming weeks. 
Carrie Bourdow: Yes. Let me just add though that there are hospitals that asked to see this data when it was coming out, right? We've been talking about the fact that we've been running this study. And so the MSLs have those hospitals as their first target list they're going. So some of the feedback Mark's talking about, and as Patty said we've been invited back in to have those conversations with some key hospitals. And I think that is encouraging as well. 
Jason Butler: Okay. Great. Thanks for taking my question.
Carrie Bourdow: Thanks, Jason.
Operator: The next question comes from Douglas Tsao from H.C. Wainwright. Please go ahead. 
Douglas Tsao: Hi. Good morning. Thanks for taking my question. Just maybe can you -- I apologize if I missed it, but I think we've been targeting 100 formulary wins by year end last year. And obviously, COVID sort of threw that or went into that. I'm just curious where you actually are right now in terms of actual formulary wins? 
Carrie Bourdow: Yes. Thanks, Doug. Yes we are at 49 formulary wins, and that our business is primarily inpatient, right? So I know that a lot of people are counting a lot of different things. We're counting in patient formularies. So that's the number. And then as I mentioned we have over 40 formularies scheduled over the next couple of quarters that are actually scheduled meetings. So I think that's a good metric for us to continue to track. 
Douglas Tsao: Okay. And across the wins that you do have in terms of use rates, I mean, is it that you have a handful of accounts that are ordering? I mean because I know you are talking about seeing some traction. And what's happening in the accounts where the volume just isn't where we would like it to be? 
Patty Drake: So the patient profile continues to expand. As you know we've really focused on burn, colorectal and then the open heart surgery patient the critical care patient that the anesthesiologists send. What we find is that once an institution or a healthcare provider has experience with the product they tend to refer to another area and then it expands. So for example colorectal surgeon will tell us to go speak to the burn unit because there's a particular interest there. We've seen that before and we believe that that will continue as time progresses. 
Carrie Bourdow: The one thing Doug, I'll say that is different from other hospital launches that I -- and I don't know if this is a change that's going to stay in place. But hospitals physicians are wanting to try it first, more so than I saw in the past, right? It used to be the old days, you get the drug on formulary, you get it in the Epic or the Cerner systems and then you go train the staff.  As Patty said, with formulary committees getting delayed we've been training more and more staff and then physicians have been trying to use it in more in the small settings right? Kind of you may have a colorectal surgeon that will use a little bit of it to get experience, while we're trying to wait for it to get on formulary. So it's been a little difficult for us to track the volume from that perspective, as we're getting in orders with the idea that you're going to get it on formulary. In a couple of cases early on where the drug got on formulary and began to get used in a lot of different places that's where we're seeing a lot of the reorders. Does that help give you a little bit more color? 
Douglas Tsao: Yes. 
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I'd like to turn the conference back over to Carrie Bourdow for any closing remarks. 
Carrie Bourdow: Great. Thank you all for your questions. We believe, we are well-positioned in 2022 to build on the OLINVYK commercial launch strategy. We're looking forward to the additional data readouts that we have this year for OLINVYK and also the pipeline. Just a quick recap of some of the key upcoming data events, mid-year we're expecting OLINVYK versus IV morphine cognitive function data.  By year-end, the OLINVYK outcome study from Cleveland Clinic looking at respiratory cognition and GI tolerability. Also by year-end, the Phase I TRV045 in diabetic neuropathic pain. And in the second half, the NIH TRV045 animal data in epilepsy. So, there's a lot going on. We'll provide you with additional updates throughout the year and thank you again for joining us today. Operator that concludes the call. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.